Operator: Good afternoon and welcome to the BioHiTech Global First Quarter 2021 Financial Results and Corporate Update Conference Call. At this time, all participants are in a listen-only mode. Participants of this call are advised that the audio of this conference is being broadcast live over the Internet and is also being recorded for playback purposes. A webcast replay of this call will be available approximately one hour after the end of the call today through August 20 2021. I'd now like to turn the conference over to Scott Gordon, President of CORE IR, BioHiTech Global's Investor Relations firm. Please go ahead, sir.
Scott Gordon: Thank you, Keith. Good afternoon everyone and thank you for participating in today's conference call. Joining me from BioHiTech Global's leadership team are Tony Fuller, Chief Executive Officer and Brian Essman, Chief Financial Officer.
Anthony Fuller: Thanks, Scott. And good afternoon to everyone on the call. I welcome you to BioHiTech Global's first quarter 2021 financial results and corporate update call. We have maintained the momentum from 2020 and continue to drive our efforts to grow revenue and reduced expenses across both of our complimentary waste solutions. Our first quarter revenue of over $3 million surpassed our fourth quarter by 21%, marking a new quarterly record high since BioHiTech became public in 2015. This was largely driven by continued growth in digester revenues as a result of the equipment purchases by Carnival Corporation. Revenues from equipment sales were $2.3 million, an increase of 602% over the first quarter of 2020 and 37% over the fourth quarter of 2020. We also lowered our SG&A expenses and loss from operations as a percentage of revenue in the quarter by significant margins. During the first quarter, the operating loss was $1.3 million, which represents a reduction of $1.7 million as compared to the fourth quarter in 2020. We are encouraged by these results, and remain confident in our approach to executing on our operating and growth plans. We continue to be encouraged with the expansion of our contract with Carnival Corporation, the world's largest cruise company, and are pleased to report that since we last updated, we've received additional orders totaling approximately $2.3 million. We're actively pursuing others in the maritime industry and beyond. Companies whom we believe share our goals of reducing food waste, and responsibly disposing of the food that ends up in waste streams.
Brian Essman: Thanks, Tony and Hello everyone. The financial results for the first quarter ended March 31 2021. The company continued to grow in the quarter ended March 31 2021, with total revenues of $3 million increasing 21% over the fourth quarter of 2020 and 124% over the comparative first quarter of 2020.
Operator:  And the first question comes from Joel Marcus with Network 1 Financial.
Joel Marcus: Hi, guys. Congratulations on a really promising quarter. I'm very pleased. I really don't have so much of a question. As I just like to add a comment. I've been registered for way over 50 years. And during that time, I've been involved in many small cap companies. Management of this company, really is truly, truly excellent. Brian and Tony are fabulous. I believe in them. I want to compliment them. And I really, really believe that they will make this company a huge success in the coming quarters and the coming years. So, for anyone who might be new to this new to the conference, I've been involved with this for a couple of years through ups and downs. And I just want to express that as a quote unquote old timer in this industry. I really have rarely if ever seen management as capable and as good as the management that this company is blessed with. So, thank you guys. Keep up the good work, and I really look forward to the future.
Anthony Fuller: Joel, thank you for that, I will tell you that it's probably more than Brian and I deserve. But we're so proud to represent this team here that is working on these causes, which as I've said in the script, or causes that we are pursuing. And we commit to all of you, our utmost effort in getting that done. It is a joy and a privilege to work with this team. And we are truly excited about what the future can hold.
Operator:  And the next question comes from Edward Woo with Ascendiant Capital. Please go ahead, Mr. Woo, your line is live.
Edward Woo: Yes. Thank you for taking my question. Have you noticed any change in the competitive environment? Do you feel that that's going to be a possible big challenge? Or is it really more of just taking time to kind of work through this pandemic, as companies kind of get back to normal and figure out their ongoing business plan?
Anthony Fuller: I can't. Thanks for the question. I personally would tell you that this has always been a strong, competitive environment. When I look at what we've all been through the past year, I think it ups the stakes a little bit, I think anybody that's answering that question honestly would say, we are in a time now, when customers who were impacted are getting back in business, we're at a time now that will represent possibly inflection points, as far as opportunities to grow business and expand your business.
Edward Woo: That answers my question. So thank you. My last question is more of a - has there been any significant issues with your supply chain, inflation or with shortages on components? Or just any other potential issues? I know you aren't as effective for the use of your plant, but just maybe your digesters?
Anthony Fuller: Yes, lots of big wind and lots of issues with supply chain today, I would not tell you that we have experienced significant issues with our supply chain, there are isolated instances. And what we've tried to do Bob Joyce and our team that many runs that part of our business, they've done a great job getting out in front of that. We worked hard on supply chain all of last year. We're going to have issues on occasion with certain suppliers every company does. From a pricing standpoint, I think that we're seeing some pressure on pricing, but it has not been such that it's caused us great concerns because simply the volume of production that we've been able to enjoy, we've been able to ride that out. I think that's going to be a question that we all have to deal with in the coming years. I won't say this year, as much, because we're pretty well locked in, but when you look at the business environment going forward, who's not talking about inflationary pressures?
Edward Woo: Great. Thank you for answering my questions. And I wish you guys, good luck.
Anthony Fuller: Thank you.
Operator: Thank you. And this concludes our question-and-answer session. I would like to turn the conference back over to Tony Fuller, for any closing remarks.
Anthony Fuller: I want to thank you all, for being a part of this today. I have lost my notes as to exactly how I was going to wrap this up. But I do I truly were grateful for the participation of our shareholders and the opportunity to share our results with each of you. So have a great day. Thank you.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.